Operator: Good morning, and welcome to the Third Quarter 2023 Earnings Conference Call for D.R. Horton, America's Builder, the largest builder in the United States. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I will now turn the call over to Jessica Hansen, Vice President of Investor Relations for D.R. Horton.
Jessica Hansen: Thank you, Paul, and good morning. Welcome to our call to discuss our results for the third quarter of fiscal 2023. Before we get started, today's call includes forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although D.R. Horton believes any such statements are based on reasonable assumptions, there is no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to D.R. Horton on the date of this conference call, and D.R. Horton does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about factors that could lead to material changes in performance is contained in D.R. Horton's annual report on Form 10-K and its most recent quarterly report on Form 10-Q, both of which are filed with the Securities and Exchange Commission. This morning's earnings release can be found on our website at investor.drhorton.com, and we plan to file our 10-Q early next week. After this call, we will post updated investor and supplementary data presentations to our Investor Relations site on the Presentations section under News & Events for your reference. Now, I will turn the call over to David Auld, our President and CEO.
David Auld: Thank you, Jessica, and good morning. I am pleased to also be joined on this call by Mike Murray and Paul Romanowski, our Executive Vice Presidents and Co-Chief Operating Officers; and Bill Wheat, our Executive Vice President and Chief Financial Officer. For the third quarter, the D.R. Horton team delivered solid results, highlighted by earnings of $3.90 per diluted share. Our consolidated pre-tax income was $1.8 billion on an 11% increase in revenues to $9.7 billion, with a pre-tax profit margin of 18.3%. Our homebuilding return on inventory for the trailing 12 months ended June 30 was 31.8%, and our return on equity for the same period was 24.3%. Despite continued high mortgage rates and inflationary pressures, our net sales orders increased 37% from the prior-year quarter, as the supply of both new home and existing homes at affordable price points is limited and demographics supporting housing demand remain favorable. We are focused on consolidating market share by supplying more homes to meet homebuyer demand, while maximizing the returns and capital efficiency each of -- in each of our communities. With improvements in both labor capacity and availability of materials, our cycle times are decreasing, positioning us to release homes for sale earlier in the construction cycle. We are pleased that we were able to increase our homebuilding starts to 22,900 homes this quarter, which was supported by a 6% sequential increase in our active selling communities. Our homebuilding operating margins are lower than the record high margins we reported last year due to cost inflation and pricing adjustments and incentives we implemented to address homebuyer affordability challenges caused by higher mortgage rates. However, our margins improved sequentially from the March to June quarter as home prices and incentives have stabilized and some reductions in construction costs are now being realized in our homes closed. We are well-positioned with our experienced operators, diverse product offerings, flexible lot supply, and strong capital and liquidity position to produce and sustain consistent returns, growth and cash flow. We will maintain our disciplined approach to investing capital to enhance the long-term value of our company, including returning capital to our shareholders through both dividends and share repurchases on a consistent basis. Paul?
Paul Romanowski: Earnings for the third quarter of fiscal 2023 decreased 16% to $3.90 per diluted share, compared to $4.67 per share in the prior-year quarter. Net income for the quarter decreased 19% to $1.3 billion on consolidated revenues of $9.7 billion. Our third quarter home sales revenues were $8.7 billion on 22,985 homes closed, compared to $8.3 billion on 21,308 homes closed in the prior year. Our average closing price for the quarter was $378,600, flat sequentially and down 3% from the prior-year quarter. Mike?
Mike Murray: Our net sales orders in the third quarter increased 37% to 22,879 homes, and order value increased 26% from the prior year to $8.7 billion. Our cancellation rate for the quarter was 18%, flat sequentially and down from 24% in the prior-year quarter. Our average number of active selling communities was up 6% sequentially and up 8% year-over-year. The average price of net sales orders in the third quarter was $381,100, up 2% sequentially and down 8% from the prior-year quarter. To adjust to changing market conditions and higher mortgage rates over the past year, we increased our use of incentives and reduced the sizes of our homes to provide better affordability to homebuyers. Although home prices and incentives have begun to stabilize, we expect to continue utilizing a higher level of incentives as compared to last year. Our sales volumes can be significantly affected by changes in mortgage rates and other economic factors. However, we will continue to start homes and maintain sufficient inventory to meet sales demand and aggregate market share. Bill?
Bill Wheat: Our gross profit margin on home sales revenues in the third quarter was 23.3%, up 170 basis points sequentially from the March quarter. The decrease in our gross margin from March to June reflects a decrease in incentive costs and lower stick-and-brick costs on homes closed during the quarter. On a per square foot basis, home sales revenues and lot costs were both flat sequentially, while stick-and-brick cost per square foot decreased 4%. As Mike mentioned, we continue to -- we expect to continue offering a higher level of incentives as compared to 2022. But due to the recent stabilization in home prices and some reductions in both incentives and construction costs, we expect our homebuilding gross margins to be slightly higher in the fourth quarter compared to the third quarter. Jessica?
Jessica Hansen: In the third quarter, our homebuilding SG&A expenses increased by 6% from last year and homebuilding SG&A expense as a percentage of revenues was 6.7%, up 10 basis points from the same quarter in the prior year. Fiscal year-to-date homebuilding SG&A was 7.2% of revenues, up 30 basis points from the same period last year as we've maintained the capacity of our platform to grow market share. Paul?
Paul Romanowski: We started 22,900 homes in the June quarter, up 15% from the March quarter. We ended the quarter with 43,800 homes in inventory, down 22% from a year ago and flat sequentially. 25,000 of our homes at June 30 were unsold, of which 5,700 were completed. For homes we closed in the third quarter, our construction cycle time decreased by over a month from the second quarter, reflecting improvements in the supply chain. We expect to see a further decrease in our cycle time for homes closed in the fourth quarter. We will continue to [ingest] (ph) our homes and inventory and starts pace based on market conditions. Mike?
Mike Murray: Our homebuilding lot position at June 30 consisted of approximately 555,000 lots, of which 25% were owned and 75% were controlled through purchase contracts. 34% of our total owned lots are finished and 53% of our controlled lots are or will be finished when we purchase them. Our capital-efficient and flexible lot portfolio is a key to our strong competitive position. Our third quarter homebuilding investments in lots, land and development totaled $2.2 billion, up 25% from the prior-year quarter and 27% sequentially. Our current quarter investments consisted of $1.2 billion for finished lots, $700 million for land development, and $290 million for land acquisition. Paul?
Paul Romanowski: During the quarter, our rental operations generated $162 million of pre-tax income on $667 million of revenues from the sale of 1,754 single-family rental homes and 230 multi-family rental units. Our rental property inventory at June 30 was $3.3 billion, which consisted of $1.9 billion of single-family rental properties and $1.4 billion of multi-family rental properties. Our rental operations are generating significant increases in both revenues and profits this year, as our platform expands across more markets. For the fourth quarter, we expect our rental revenues to be greater than our third quarter and our rental profit margin to be lower than our third quarter. Bill?
Bill Wheat: Forestar, our majority-owned residential lot development company, reported total revenues of $369 million for the third quarter on 3,812 lots sold with pre-tax income of $62 million. Forestar's owned and controlled lot position at June 30 was 73,000 lots. 57% of Forestar's owned lots are under contract with or subject to a right of first offer to D.R. Horton. $270 million of our finished lots purchased in the third quarter were from Forestar. Forestar is separately capitalized from D.R. Horton and had more than $780 million of liquidity at quarter-end, with a net debt to capital ratio of 19.1%. Forestar is uniquely positioned to capitalize on the shortage of finished lots in the homebuilding industry and to aggregate significant market share over the next few years with its strong balance sheet, lot supply and relationship with D.R. Horton. Mike?
Mike Murray: Financial services earned $94 million of pre-tax income in the third quarter on $229 million of revenues, resulting in a pre-tax profit margin of 41.2%. During the quarter, 99% of our mortgage company's loan originations related to homes closed by our homebuilding operations, and our mortgage company handled the financing for 74% of our buyers. FHA and VA loans accounted for 51% of the mortgage company's volume. Borrowers originating loans with DHI Mortgage this quarter had an average FICO score of 723 and an average loan to value ratio of 88%. First-time homebuyers represented 56% of the closings handled by our mortgage company this quarter. Bill?
Bill Wheat: Our balanced capital approach focuses on being disciplined, flexible and opportunistic to support and to sustain an operating platform that produces consistent returns, growth and cash flow. We continue to maintain a strong balance sheet with low leverage and significant liquidity, which provides us with flexibility to adjust to changing market conditions. During the first nine months of the year, our cash provided by homebuilding operations was $2.1 billion and our consolidated cash provided by operations was $2.3 billion. At June 30, we had $4.6 billion of homebuilding liquidity, consisting of $2.6 billion of unrestricted homebuilding cash and $2 billion of available capacity on our homebuilding revolving credit facility. Homebuilding debt at June 30 totaled $2.7 billion, which includes $400 million of senior notes that we redeemed early in July. Our homebuilding leverage was 11.1% at the end of June and homebuilding leverage net of cash was 0.7%. Our consolidated leverage at June 30 was 22%, and consolidated leverage net of cash was 11.2%. At June 30, our stockholders' equity was $21.7 billion, and book value per share was $64.03, up 23% from a year ago. For the trailing 12 months ended June, our return on equity was 24.3%. During the quarter, we paid cash dividends of $85 million and our Board has declared a quarterly dividend at the same level as last quarter to be paid in August. We repurchased 3.1 million shares of common stock for $343 million during the quarter for a total of 7.7 million shares repurchased fiscal year-to-date for $764 million. Jessica?
Jessica Hansen: As we look forward, we expect current market conditions to continue with uncertainty regarding mortgage rates, the capital markets and general economic conditions that may significantly impact our business. For the full year, we currently expect to close between 82,800 and 83,300 homes in our homebuilding operations and between 6,500 and 7,000 homes and units in our rental operations. We expect our consolidated revenues for fiscal 2023 to be in a range of $34.7 billion to $35.1 billion. We expect to generate greater than $3 billion of cash flow from operations in fiscal 2023, primarily from our homebuilding operations. We also expect our fiscal 2023 share repurchases to be approximately $1.1 billion, similar to last year. For the fourth quarter, we currently expect to generate consolidated revenues of $9.7 billion to $10.1 billion, and homes closed by our homebuilding operations to be in the range of 22,800 to 23,300 homes. We expect our home sales gross margin in the fourth quarter to be approximately 23.5% to 24%, and homebuilding SG&A as a percentage of revenues in the fourth quarter to be in the range of 6.7% to 6.8%. We anticipate our financial services pre-tax profit margin of around 30% to 35%, and we expect our income tax rate to be approximately 24.5% in the fourth quarter. We will continue to balance our cash flow utilization priorities among our core homebuilding operations, our rental operations, maintaining conservative homebuilding leverage and strong liquidity, paying an increased dividend and consistently repurchasing shares. David?
David Auld: In closing, our results and position reflect our experienced teams, industry-leading market share, broad geographic footprint and diverse product offerings. All of these are key components of our operating platform to sustain our ability to produce consistent returns, growth and cash flow, while continuing to aggregate market share. We will maintain our disciplined approach to investing capital to enhance the long-term value of the company, which includes returning capital to our shareholders through both dividends and share repurchases on a consistent basis. Thank you to the entire D.R. Horton team for your continued focus and hard work. This concludes our prepared remarks. We will now host questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] And the first question today is coming from Stephen Kim from Evercore ISI. Stephen, your line is live.
Stephen Kim: Thanks very much guys. Impressive quarter once again. So, congratulations on that. I wanted to talk about your construction -- your pace of construction and your goals going forward. You talked about growing your starts this quarter versus last quarter. But when we just look back maybe a year, year and a half ago, there were a couple of quarters where you started even more. You started about 25,000 units a quarter. I wanted to get a sense from you as to whether or not you feel like that's a level that you could achieve in the near term, and if not why not? And then also if you could talk about whether seasonality is going to be a factor we should be thinking about with respect to your starts cadence?
Paul Romanowski: Yes, Stephen, we have seen, as we talked, about a 30-day reduction in our cycle time and see consistency and improvement as we travel throughout our divisions and seen pretty good balance with our trades and all the supplies that we need to continue with improvement in cycle time. If you look at our starts pace, it did tick up some and stayed pretty consistent with our closings, which is a cadence that we expect to see as we look towards the fourth quarter. Based on our sales pace and the strength of the market, and where we have the lots and the ability to push that up a little bit, we will, but not looking to outpace the market and continue to keep in that cadence and position ourselves for continued growth.
Stephen Kim: Okay. So, it sounds like I didn't really get a sense for whether 25,000 is a significant figure in your mind. And why is that a level that we couldn't achieve or revisit? Simply because it wasn't that long ago where you actually did that for, like I said, two quarters in a row. And then also if I could tack on a second question about your rental platform. You did give some guidance regarding [revs] (ph) being higher, but margins being lower relative to -- in 4Q relative to 3Q. Could you talk about your plans for rental inventory in dollars carried on the balance sheet? Where should we be thinking you're going to take that level of investment, which I think is $3.3 billion, if I'm not mistaken, right now? Is that going to grow meaningfully as we look into 2024 and beyond, or is that a level that you feel comfortable with, maybe even begin to harvest some of that? Thanks.
David Auld: Hey, Steve, as to the 25,000 starts per quarter, we are very focused on increasing -- incrementally increasing starts quarter to quarter to quarter. And we believe that as we continue this process, we will consolidate the labor availability capacity. And with labor and material consolidation, our ability to program out our starts and then continue to build the houses and gain efficiency in that process, it's just an ongoing effort. So, do we have a target out there of we've got to get to this number? No. Our target is market by market, flag by flag, how do we consolidate these markets and increase our market share. And just by the nature of doing that, we're going to get bigger and bigger and bigger. And I'll let Mike reply to the rental question.
Mike Murray: Hey, Stephen. So, we expect that the margin on the fourth quarter closings in the rental segment will probably have a lower profit margin, largely on the basis of a mix of projects that are delivering between Q3 and then into Q4. A lot of it's on a cost basis difference between those homes that were built at different times and when they're delivering.
Paul Romanowski: And then, in terms of our forward investment level, we're at a total of about $3.3 billion of inventory today. We've seen a significant growth ramp in that over the last two years. We do expect to continue to grow that platform and we will see our inventory levels continue to grow over the next couple of years, but we do expect that growth pace to moderate from what it's been in the last two years.
Stephen Kim: Okay. Great. Thanks very much, guys.
Operator: Thank you. The next question is coming from Joe Ahlersmeyer from Deutsche Bank. Joe, your line is live.
Joe Ahlersmeyer: Thanks, and good quarter, guys.
David Auld: Thank you.
Joe Ahlersmeyer: I wanted to follow up on the community count. That's up about 9% year-to-date, calendar year-to-date that is. And I'm just wondering is there anything in there that we should consider that's more temporary in nature? I'm not going to straight-line that release or anything that sequential number, but should we expect that to go down into the back half, or are we going to sustain those levels? And then I have a follow-up.
Jessica Hansen: Sure, Joe. We've been really focused on our flag count. I mean, we clearly have the lot position to open new communities and to grow our community count, whereas the last couple of years, it's not moved more than a low-single digit percentage. We do feel like we're positioned to be closer to the mid-single digits going forward. So not necessarily 9% going forward, but around the mid-single digits quarter-to-quarter. There can be some choppiness just determining when we close out of communities and ultimately bring them online, but our lot position is there and our operators are focused on growing their flag count.
Joe Ahlersmeyer: Makes sense. And just thinking about the homes and inventory number, that was actually sequentially flattish the last couple quarters, even as you did grow those communities. So, is it right to think that maybe this is part of returning to higher levels of inventory unit turnover? Or should we expect that the total homes and inventory will sort of catch up on a lag as you continue to grow starts?
Paul Romanowski: We're very focused on improving our inventory turn and as our construction cycle times have improved, that's facilitating that. You look historically, we typically when we go into a year with our number of homes in inventory, we've been able to turn that 2 times in the following year. The last couple of years has been slower than that, and so we're looking to get back to that more historic inventory turn level as we look to fiscal '24.
David Auld: That is a -- going back to the start question, that is a factor in our start pace is making sure that we have the capacity to continue to deliver these houses in a more -- in a faster and more efficient way. It all flows together so that we can actually deliver more houses with fewer homes and inventory quarter-to-quarter, quarter-to-quarter.
Joe Ahlersmeyer: That's great to hear. Thanks very much, and good luck.
Operator: Thank you. The next question is coming from John Lovallo from UBS. John, your line is live.
John Lovallo: Good morning, guys. Thank you for taking my questions. The first one is, it looks like the sequential improvement or the sequential cadence of orders from the second quarter to third quarter was better than normal seasonality by a bit. I mean, I think normal seasonality would suggest down about 5%. It looks like they were down about 1%. As we move into the fourth quarter, how should we sort of think about seasonality, which looks like it's typically down, call it, 15% to 20% on a quarter-over-quarter basis? Is that a reasonable way to think about the fourth quarter, or are the dynamics getting a little bit better out there where you might be able to do a bit better than that?
Paul Romanowski: Yeah. Thanks, John. I think we are seeing more normal seasonality this year in terms of just demand traffic patterns. And so, I think our base expectations would be that orders would show a bit closer to normal seasonality going forward. But to our approach in trying to be as consistent as we can and providing starts pace and a consistent level of inventory, we're still a short supply of inventory out there in the existing home market and in the new home market. We're going to make sure we've got enough homes out there to capture whatever demand there may be. And so, our hope would be, over the longer term, we could see a bit more consistency there. But there still is a natural seasonality and an ebb-and-flow to consumer demand that I think is getting back to a more normal level.
David Auld: And I do believe that we're going to have a lot more houses to sell this year, given the shortened cycle time and our ability to give people a date certain to close. So, we were limited in the number homes last year. So, the comparison this quarter to last quarter, a year-ago quarter, is probably going to -- it's going to look better than typical seasonality.
John Lovallo: That makes sense. Okay. And then maybe just a bigger picture question. If we look at 2019, D.R. Horton delivered 57,000 homes, in that ballpark, versus the -- close to 83,000 homes expected this year. Industry-wide single-family starts were pretty similar in 2019 to what's expected today. Obviously, Horton and the publics have been gaining share for years, but this is close to a 45%, 50% jump since 2019. So, I guess, the question is, how sustainable are these gains? How important is your build strategy to this performance? And maybe how important is the lack of existing home inventory just to overall homebuilder success today?
David Auld: I think, yes, yes, and yes. We've been focused for years now on simplifying this business and creating a level of consistency that didn't exist in the '80s, '90s, or early 2000s. And jokingly I call it building a real business, and I believe we have and are doing that. And coming out of the downturn, there was tremendous opportunity to consolidate market. But we didn't have the liquidity or balance sheet to do it. So, as we have grown through this last 15 years, 20 years -- 15 years, I guess, our goal has been to create a company with a balance sheet and the liquidity to take advantage of any disruptions in the market. And since 2019, it just seems like, at least quarterly, you either coming out of it or going into it another disruption. So, it's the power of the platform and we talk a lot about it. I think you're seeing it play out. It's people, it's location, product, it's just trying to simplify the business and create affordability to a level nobody else can achieve. And that's going to consolidate these markets.
John Lovallo: Thank you very much.
Operator: Thank you. The next question is coming from Carl Reichardt from BTIG. Carl, your line is live.
Carl Reichardt: Thanks. Good morning, everybody. Bill, you mentioned stick and brick down 4% per foot, I think, year-on-year. Could you break that out in terms of what materials are helping most, obviously, lumber and then labor? And the reason I ask is, I'm assuming that we're starting to see some leverage from the single-family and multi-family rental platform. Part of the reason you're trying to grow that business is to add scale in your markets to lower overall construction costs. So, I'm wondering if that's starting to help there.
Bill Wheat: Right now, as we look at the components of the home across the materials, it is primarily lumber right now. There are some minor moves in both directions, really across the other components of the homes. It's primarily lumber there. I think we are on the front edge of starting to realize some improvement in labor as the homes that we have been starting over the last quarter or two have been at a lower cost than what we had there for a while. But I think we still expect a bit more improvement there with lumber. And then really, the forward cost structure really depends on what the capacity of the industry is and what all builders are doing. So, a bit more improvement there, but as we continue to add scale, which does include our rental platform as well, we definitely have advantages and opportunities to continue to leverage that to drive our cost structure down, especially relative to the rest of the industry.
Carl Reichardt: Okay. Thank you, Bill. And then David, the private builders we're talking to, we've seen sort of -- you mentioned normal seasonality to a slower market maybe than they had expected starting the summer. I don't know if that's just the particular vagaries of being small and private. They can't -- harder to buydowns, more capital constraints to do higher-end. But you purchased a private during the quarter and you've got presence in a lot of markets where the smaller privates really make up the bulk of your competitors, in some cases, all of them. Has there been much movement in terms of interest willingness or need to sell among the privates right now, just given what they're facing relative to what the publics have advantage-wise? Thanks.
David Auld: Carl, we talk about it a lot, seems like in the last couple of years, but it is really hard to put a lot on the ground. It is really hard to build houses. And these private guys, now, they've got to struggle with capital from either private or banks increasing in cost. So, do we have the opportunity to talk to a lot of these guys? Yes, we do. But it's going to take unique opportunities for us to invite them into the family, because we do have a special culture here and we're not going to screw it up trying to force a square peg in a round hole.
Jessica Hansen: Excited about the most recent [indiscernible] Truland in terms of already having been one of our largest lot developers in our Gulf Coast region. And so, we picked up Truland's homebuilding operations, but Nathan Cox and his team will continue to be a key component in terms of developing lots to us and for us in the Gulf Coast.
David Auld: And I will say, I've had a personal relationship with Nathan Cox for 15 plus years, and he is an example of somebody that absolutely mirrors our culture. He's a super quality guy. He's built a good company, and somebody who we're going to be in business with for a long, long time.
Carl Reichardt: Great. I appreciate it. Thanks all.
David Auld: Thank you, Carl.
Operator: Thank you. The next question is coming from Mike Rehaut from JPMorgan. Mike, your line is live.
Mike Rehaut: Great. Thanks. Appreciate it. I wanted to circle back to an earlier answer that you gave around -- thoughts around your 4Q demand and order trends. Last month, you had Lennar talk about their third quarter orders being a little bit above 2Q and KB talking about normal seasonality being muted in the third -- in their third quarter, all based on not only strong demand but also kind of filling a void for the lack of supply that's out there and the strong demand that new homebuilders can provide as a result. So, just going back to your comments, I think, Bill, you kind of said, perhaps normal seasonality. David, I think I heard you say perhaps better than normal seasonality. I was hoping to kind of get a finer-tuned answer there in terms of what you think your capacity is to meet demand. Again, is there an ability to take orders that is similar to the third quarter level if you see the demand there? And I would assume you'd be just as interested in taking as much share as you can. Or going back to an earlier question as well, is there any type of production constraints that might hold you back there a little bit?
Jessica Hansen: Sure, Mike. So, I mean, we're not in this for quarterly results. We're in this for the long term and to build as much shareholder value as we can over the long term. So, quarter to quarter to quarter, as you've heard David say over and over, we're focused on being consistent, and, as we've talked about, it's all tied to our starts pace. So, we're not managing to a sales number in Q4. If the market's there and our cycle times continue to improve, we might be able to see a little bit better than normal seasonality. If the market were to weaken for some reason or we don't get as many homes started ultimately, it could be less than normal seasonality. Right now, we feel like we're positioned to increase our starts slightly from where we were in Q3. And also, as we've talked about, our construction cycle times have continued to improve and our flag count has grown. So, we feel like we're very well-positioned. But frankly, we're more focused on positioning for '24 at this point than we are worried about Q4. I mean, we're going to finish out the year very strong and generate strong returns and continue to add to book value and position ourselves to go do the same in 2024.
Mike Rehaut: Okay. I appreciate that. I guess, maybe then turning to '24, when you look at your backlog conversion at the beginning of the year relative to what you deliver, at best, you kind of hit a 4 times -- maybe low 4 times turnover. In other words, your backlog turned over 4 times in terms of the amount of closings you were able to achieve. The height was in 2020 at 4.8 times. It looks like, on a rough basis, you'd probably be closer to 5 times or above, maybe even 6 times, given where potentially your backlog could be at the end of this fiscal year. So, given the fact that you're looking for community count growth, is it still reasonable to expect kind of a high-single or even low-double digit closings growth number for next year, or, again, just given the physical constraints of turnover and other -- the fact that cycle times are improving, but not back to where they were, any other items to consider?
Bill Wheat: Sure, Mike. As we're looking to fiscal '24, we're -- and we've talked about this before. We always try to position ourselves with our lot position, with our homes and inventory so that we are in a position to deliver close to a double-digit growth, high-single, 10% type growth. And so, that's what we're doing again, is positioning our inventory so that we're in the position there in the market that we see today. I think it's there for us if we can get our lot positions and our homes in inventory ready for that. And with improved cycle times, that helps us improve our inventory turnover. And I think we focus a lot more on our inventory turn, our inventory conversion than we do backlog. Backlog is just really just a factor of when we choose to sign a sales contract on a home. We focus on our starts pace, what homes we have in inventory, and then we adjust when we're going to release those for sale based on when we have confidence that we can deliver that home. So, every home we start, we will close. And if we're turning those faster, then that will improve the inventory turnover and improve -- honestly, improves your visibility to see what our closings are going to be as well. So it's really about our starts pace, our inventory positioning, and then how efficiently can we turn that.
Jessica Hansen: And as a reminder, we sell and close generally 35% to 40% of our homes intra-quarter, so you never see those in our backlog that we're reporting at a quarter-end anyway, which is why Bill is alluding to home starts and our homes in inventory being a better driver and an indicator of what we're going to close in a forward period.
Mike Rehaut: Great. Thanks so much.
Jessica Hansen: Thanks, Mike.
Operator: Thank you. The next question is coming from Matthew Bouley from Barclays. Matthew, your line is live.
Matthew Bouley: Good morning. Thank you for taking the questions. I wanted to ask about lot costs. I think you said lots on a per square foot basis were actually flat sequentially, which is maybe a little surprising, given the shortage of lots out there, as you alluded to. Could you speak to a little around what's implied near term in your margin guidance around lot costs? And then just sort of more broadly, how are you thinking about managing inflation in lots going forward? Thank you.
Mike Murray: What we're seeing today in the closings are lots that were contracted and acquired quite some time ago and coming through. So, we're not seeing a lot of cost pressure coming through. Going forward, along with the lot scarcity, we're expecting to see lot costs coming through in forward margins at a higher level. There has certainly been inflation in land and in lot development costs and in finished lot prices. So, we expect to see that, but that's factored into our guidance and the way we're planning for the business next year.
Matthew Bouley: Okay. Got it. Thank you for that. And then, secondly, just on the topic of mortgage rate buydowns, I'm curious if you can kind of educate us a little around how that dynamic may change depending where prevailing mortgage rates go. So, if we were to see a rise in mortgage rates from here, for example, what level or what ability do you have to -- what's kind of the maximum level of rate buydown, I guess, you could do? And conversely, if rates were to come down, would you continue to buy down rates by the same amount, or would you actually reduce kind of the size of your mortgage rate buydowns? Just curious around how all that may play out. Thank you.
Paul Romanowski: Yeah. The rate buydown for us has been an effective incentive and to help us provide, as we've improved our cycle time as well, a certainty of close date and a certainty of home payment. And we have stayed roughly a point below the market, and we'll have to measure that as we move forward depending on where rates move, whether that be up or down. But we have found it to be our -- one of our most effective incentives, and we have been consistent in that execution and we'll continue to explore that as the interest rates move on a go-forward basis.
Matthew Bouley: All right. Well, thank you, and good luck.
Operator: Thank you. The next question is coming from Eric Bosshard from Cleveland Research Company. Eric, your line is live.
Eric Bosshard: Thanks. The gross margin progress in the quarter was notable and you talked about, I guess, a bit more progress in 4Q. I'm curious if you could help us get a sense of how we should be thinking about the path of gross margins from here. You've done a good job historically outlining ranges. But in the world, which seems like it's stabilizing for you now, how should we think about the range of path of gross margin?
Bill Wheat: Yeah, Eric, it's -- what we have visibility to is basically what's in our backlog and what's been in our recent sales, and then, we certainly have visibility to what our recent cost levels have been. So, we've been seeing the costs on our more recent starts be lower. So, we've got some visibility to what that could produce. So, right now, as we look at our recent backlog in sales, we see a sequential modest improvement in margin up to kind of the high-23%-s to 24% range in Q4. You used the word stabilization. Last quarter, we used that word quite a bit. And so, we -- and we're still seeing that. And so, I think we are kind of settling into a more stable period here in terms of our costs, and demand has been pretty steady as well. So, I think we certainly don't see a trajectory in margin forever upward, but the modest improvement into the coming quarter looks like a pretty sustainable level here in the near-to-medium term.
Mike Murray: A lot of tailwind from limited inventory supply at affordable price points are helpful to margins. And then, interest rates are the biggest risk to margins. Significant increases in interest rates will compress our margins.
Eric Bosshard: Within this, you mentioned a moment ago, buying rates down a point below market has been a silver bullet or something that's been a catalyst for consumers to go ahead and sign a contract. I'm curious if you're seeing that's just the way it's going to be, or if you're seeing consumers becoming more comfortable with the reality in the days of a 3% mortgage are long gone. I guess, what I'm trying to figure out is, can you get away with buying down rates less now? Are you seeing consumers a bit less sensitive? Or is this the medium-term reality that we should expect?
Paul Romanowski: Yeah. The interest rate buydown is an incentive like many that we use, and we have a lot of different levers that we may pull market-by-market or community-by-community based on the needs of the buyers walking in the door. That has certainly been a hot button today because of the meteoric rise in rates and people's adjustment to that. As that adjusts, it will just ebb and flow with different incentives, whether that's closing costs or price or included features. It's been a good tool for us today. We will adjust to the market as it comes at us.
Jessica Hansen: It was still on a majority of the homes we closed in the third quarter, but it was at a lower percentage than it was in Q2 in terms of the number of buyers utilizing that incentive.
Eric Bosshard: Great. Thank you.
Operator: Thank you. The next question is coming from Ken Zener from Seaport Research Partners. Ken, your line is live.
Ken Zener: Good morning, everybody.
David Auld: Good morning, Ken.
Ken Zener: I want to take -- well, two questions here. One, I just want to kind of focus on capital and cash flow, and the other is going to be about just where we are on kind of the level of business by community versus the past. So, your ability to match EPS to cash flow has been improving, I think, $3 billion of cash flow, and I think about $4 billion in net income, so about 75%. Obviously, multi-family plays into that. But could you specifically talk to the 53% of option lots that you expect to be finished? What limits this from going higher, perhaps, and what kind of factors determine whether you're taking down finished or raw land in those options structures? And just refresh us on what that raw first developed lot cost is so we can understand the inflation inherent in those raw lots.
Jessica Hansen: Sure. I'll start, Ken, and then I'm sure Mike or someone is going to chime in on the true ops piece of it. But in terms of the 53% that we said in our scripted remarks of our option lots that we expect to be purchase-finished, that's just at a point in time. So that's where we've already determined who's going to develop those lots for us, and we know we're going to take them down as a finished lot. That's by no means a ceiling. We're now closing 60%-plus of our houses quarter-to-quarter on a lot purchased from a third-party developer. And so, we -- in the normal course of business, we'll contract with a land seller as D.R. Horton, put the option [on the] (ph) contract and then we'll go find a land developer. So, the 53% is more of a floor than necessarily a ceiling.
Mike Murray: I think you said it very well. We're going to take a piece of dirt and title it, and then, in that process, look to work with a third-party developer in some cases to assign that contract to. They'll acquire the land parcels and then they'll complete the lot development and sell us finished lots that we'll then start constructing homes on over time. So that 53% expected would go up, but we will choose, in some cases, to develop the neighborhood ourselves. In every one of our markets, we have great teams in place that are capable of developing their own lots, as well as negotiating to buy finished lots from third-party developers.
Bill Wheat: And Ken, to circle back to your initial comment about capital and cash flow and percentage of cash flows relative to our earnings, we are seeing a big improvement in that this year, and that's what we're expecting to see this year. I would tell you that, that big move is being driven primarily by the improvement in our cycle times -- by our construction cycle times. We don't have as much capital tied up per home in our homes in inventory, because we're turning those faster. Definitely, our land shift over many years has been a component of that over time. But this year, specifically, it's more about our homes and inventory turnover improving.
Ken Zener: Great. And so, I guess, just a follow-up to that, why would you want to develop land as opposed to, like, other builders or one specifically that is [indiscernible] of that? And then the other question, which I'm still struggling with when I just try to normalize housing is your starts pace or your pace per community is about 4.6 this year. It used to be about 3.6. Why is that the new normal, basically? I mean, I don't want to push down sales pace for no reason. But like, why are we so far above where we used to be as an industry? It's not just you guys. If you could explain that? Thank you.
Paul Romanowski: Yeah. I think on the lot development question, we have talented teams across our platform. And there are instances where it's important to us in our starts pace is we have to have a lot on the ground. And so, controlling that process and being good at producing that lot is a talent that we're going to retain, and we have to continue to exercise that in order to do so. And some deals just make more sense for us to develop from a timing perspective and/or structure and/or size. And so, we're going to make that decision community-by-community across the platform. In terms of our absorption per community, I just -- I think that you've seen some larger communities that may be a portion of that impacting sales and positioning of those communities to drive more efficient activity, both on the construction and sales side.
Bill Wheat: Yeah, I'm not sure I've got an answer for you for sure, Ken. If you don't know the answer, I'm sure we don't either in terms of why the industry has improved. The only thing I could come up with is, you have seen a shift in this industry to focus more on returns. And as we focused on returns, that really comes down to being more efficient with every asset you have. And so, if you can improve your absorption, improve your turns in each community, your returns on capital are improving. And so, perhaps you're seeing a little bit of that come through in your observation of looking at higher pace, higher absorptions over time across the industry.
Ken Zener: Thank you.
Operator: Thank you. The next question is coming from Mike Dahl from RBC Capital. Mike, your line is live.
Mike Dahl: Good morning. Thanks for taking my questions. A couple of follow-ups on the rental side. So, there was a pretty well-publicized deal between yourselves and a large SFR company. Within the quarter and the guide, any color you can provide on how much of that deal already closed in 3Q? And whether or not the increase in the guide for the year reflects the full closing of that, or if there's going to be some carryover into fiscal '24?
Jessica Hansen: Sure. Our guide does and will continue to just incorporate the homes that we've closed and our leasing pace and when those projects are available to be sold and marketed. And so, we've sold projects on a one-off basis, but as we continue to scale that business, it's opening up additional interested investors who -- there's institutional money that doesn't necessarily want to buy just one project at a time. They're interested in buying a portfolio of projects. The deal you're talking about was press speculation. We haven't publicly commented on any specifics of that transaction. But when we look at our rental communities, whether we're selling multiple projects to one investor or not, they are all individual real estate transactions. And so, we would continue to point to our disclosures on a unit basis in terms of the number of completed homes we have and rental units in terms of what that forward pace of sales looks like, and we'll continue to do sales of individual projects, and I'm sure we'll continue to do packages of sales going forward.
Mike Dahl: Okay, got it. And I guess a follow-up there, so without the specifics. Given the total units you are now guiding to and the inventory that you've outlined, you will close a significant portion of your existing inventory in 4Q. And so, I fully understand that this is a growth part of your business for the next couple of years. But just circling back to a question, I think, earlier on the call around specifics on '24, should we be thinking that you've kind of pulled forward the timing of when some of that inventory you might have expected to close in terms of closing in '23 versus '24, so maybe it's a little lower in '24, or are you really in a position where even with this increased guide, you can keep growing in '24 off that?
Jessica Hansen: We've generally been talking about our rental platform combined, but in our 10-Q, you can see a breakdown and we do give our unit breakdowns separately. So, '24 is going to be a pretty big growth year from a multi-family perspective and we're going to continue to scale the single family. But as we scale both sides of the business, it could still be choppy quarter-to-quarter, year-to-year, with ultimate overall growth on an annual basis expected.
Mike Dahl: Okay, great. Thank you.
Operator: Thank you. The next question is coming from Alan Ratner from Zelman & Associates. Alan, your line is live.
Alan Ratner: Hey, guys. Good morning. So, very impressive progress on the cycle times and the cost front. I'm guessing what we are seeing now is probably somewhat of a lagged effect of the big pull back in starts the industry saw late last year and the negotiating power you had over the trades at that time and, of course, the pull back in lumber. You are not the only ones ramping your start pace now. I think we are hearing similar messages from most of your larger competitors. Maybe some of that is at the expense of the smaller privates, but I think it is clear the industry start pace is going to be accelerating here for the next handful of quarters at least. So, what are your thoughts on the sustainability of the progress you have made on cycle times and costs heading into '24? And more specifically, what are you seeing from your trades? Are they ramping their headcount in anticipation of an accelerating start pace going forward? Are they seeing more capacity out there that would support this type of growth without cost inflation following?
David Auld: Yes, it's something we work on every day. Aggregating market share involves aggregating trade base and materials within those communities. And we've been talking about a consistent start pace when we've been talking about simplifying the process and making it easier for our trades to get to and from the job with the right materials, with a complete understanding of what they're doing. That is allowing us to aggregate these trades. Our goal, our communication is we want to be the builder they want to work for. And we do a lot of things to try to make their job easier and more profitable without coming in and trying to renegotiate price every quarter. So, is it sustainable? Yes. I think that we are going to continue to focus on that. And as time goes on, we'll get better at it, and basically build capacity month-to-month, quarter-to-quarter, on a continual basis.
Alan Ratner: Got it. Appreciate the thoughts there. Second, Jessica, you mentioned earlier that while you're still offering mortgage rate buydowns on the majority of closings, it did tick a little bit lower quarter-over-quarter in terms of the share of closings that had those buydowns. I was curious if you -- a, if you had that specific data you could share with us? But, b, are you seeing any sensitivity to demand in the communities maybe where you are dialing back those buydowns? On one hand, the buydowns are probably putting you guys in such a strong competitive advantage versus the resale market. But on the other hand, with inventory as tight as it is and demand seemingly pretty strong, it would seem like you should have some ability to pull back on those without impacting demand too much. I'm just curious the interplay between that.
Paul Romanowski: The use of the rate buy downs is about 10% less than it has been as we look over the last few quarters. And that sensitivity is a community by community and buyer by buyer process. We have great sales agents in each of our communities that go through that experience with every buyer that walks in and finding what's important to them is what they do very well. And so, we'll continue, as we mentioned, to utilize that. And certainly that reduction shows some stability in rates. Although they've moved up, they've remained in a similar range. And I think people getting comfortable with their purchasing power has allowed some of the relief of that use and/or them not being as concerned about it as the thing that is important to them in the purchase.
Alan Ratner: Great. Appreciate the color. Thanks, guys.
Operator: Thank you. The next question is coming from Truman Patterson from Wolfe Research. Truman, your line is live.
Truman Patterson: Hey, good morning, everyone. Thanks for fitting me in. First, this has been touched on a little bit earlier in the call, but just trying to get a big picture overview of the banking environment and what it means for Horton. Has the banking environment currently negatively impacted your developer partners kind of outside of 4 Star, their ability to access capital for future projects? For smaller private builders, are you actually seeing them kind of pull back on spec construction, land deals, et cetera?
Mike Murray: I think with a lot of the third-party developers we work with, we have a long relationship with them. And in a lot of cases, their banking or financing sources are kind of looking through their developer, looking through to the land contract and working with us and they take great comfort in that. And we've been able to continue to sign up new deals over the past quarter that have secured new financing commitments for the third-party developers through the process. Is it as easy as it was or as inexpensive as it was? Certainly not. It is more challenging. I do think that the banking industry is being more selective in who and at what levels they're choosing to support third-party developers. On the private builder side, we've probably seen a little more opportunity to step into some positions and help those builders with some liquidity and opportunities by taking some of their lots or stepping into different positions. So, it has been, if anything, a bit accretive to the business, and we're just here to help.
Truman Patterson: Perfect. Thank you. And then, you all have discussed previously about rotating to smaller square footage offerings to combat affordability. Any way you can help us think about -- are you seeing consumers actually prefer these smaller square footage homes over the past six months? Or based on the offerings that you have out there, are consumers still kind of preferring the larger square footage homes?
Jessica Hansen: They prefer what they can afford. So, what we generally see is that buyers continue to want as much square footage as they can get, but they're constrained by what they can afford, which is why we continue to start more and more of our smaller floor plans. We did see a slight tick down on a year-over-year basis again by about 2% in the terms of square footage on our homes closed. It was flat sequentially. So, we would expect just continued very gradual moves down in our average square footage today.
Truman Patterson: All right. Thank you, and good luck in '24.
Jessica Hansen: Thanks, Truman.
Operator: Thank you. And the next question is coming from Rafe Jadrosich from Bank of America. Rafe, your line is live.
Rafe Jadrosich: Hi, good morning. Thanks for taking my questions. You mentioned that build cycles have come down 30 days from peak levels and you expect them to continue in the fourth quarter. Can you just talk about where they are now versus historical levels? And then, beyond the fourth quarter as you look into next year, how should we think about further potential improvement, like what that could do for your asset turns?
Paul Romanowski: Yeah, we are -- today down that 30 days puts us at about five-and-a-half months in our current cycle time, which is still slightly above our historical averages. And so, we see a trend towards -- more towards our normalized and consistent cycle times. That's going to depend on labor availability and our ability to continue to aggregate that labor. As you see start space increase across the country, we could certainly see some pressure on that, but feel comfortable in our position and with the trade capacity that we have in labor out in the markets today.
Mike Murray: Our build time of that at five-and-a-half months has come down about a month, and we probably have another month, month-and-a-half to go to get back to where we have been historically when we're operating at a more efficient level. And then, there's probably another 45 days to 60 days after that, what we call, construction completion until we hit the home closing date. So on average, we're looking to get to a 2 or a little better than 2 times turn of inventory units implies that six to slightly less than six months start to closing cycle time.
Rafe Jadrosich: Thank you. That's helpful. So there's still more opportunity. And then, just on the rental profit outlook for the fourth quarter, the guidance is units will be up quite a bit, but you're thinking about rental profits being down. Should we think about gross margins there being lower than kind of core homebuilding longer term? Is there any dynamic that's driving that margin kind of cadence short-term, or is this something we should be thinking about it longer-term?
Bill Wheat: Yeah, it's really a short-term thing, as Mike mentioned earlier, part of it is the mix of the projects that we see coming through and the time in which those homes were constructed was the time when we were seeing higher construction costs as well. So, we really see that as a Q4 event and as we look longer-term from a gross margin perspective and really pre-tax margin perspective, we would expect the rental to still be higher than our homebuilding margins overall. Maybe a little bit of anomaly here in Q4, but not a long-term phenomenon.
Rafe Jadrosich: Great. Very helpful. Thanks.
Operator: Thank you. That's all the questions we have time for today. I would now like to hand the call back to David Auld for closing remarks.
David Auld: Thank you, Paul. We appreciate everyone's time on the call today and look forward to speaking with you again to share our fourth quarter results in November. And finally, congratulations to the entire D.R. Horton family on producing a solid third quarter. Continue to compete, win every day. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.